Operator: Good morning. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Weyerhaeuser Fourth Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the call over to Beth Baum, Director of Investor Relations. Please go ahead.
Elizabeth Baum: Thank you, Brent. Good morning everyone and thank you for joining us today to discuss Weyerhaeuser's fourth quarter 2016 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Doyle Simons, Chief Executive Officer and Russell Hagen, Chief Financial Officer. I will now turn the call over to Doyle Simons.
Doyle R. Simons: Thank you Beth and welcome everyone. 2016 was a transformational year for Weyerhaeuser. Through our merger with Plum Creek and a $2.5 billion divestiture of our Cellulose Fibers business we became a focused timberland and forest products company and nearly doubled the size of our timberland holdings. In the midst of executing these portfolio changes, we maintained our relentless focus on performance. In 2016, we increased full-year EBITDA by almost 55% to nearly $1.6 billion. We delivered the highest annual wood products earnings in over a decade. We captured merger cost synergies faster than expected and raised our 12 month run rate target by 25% and we achieved over $100 million in operational excellence improvements. Finally, we returned $2 billion of cash to shareholders through the repurchase of common shares. For the full-year 2016, Weyerhaeuser reported net earnings of just over $1 billion or $1.39 per diluted share or net sales of $6.4 billion. These results include the solid fourth quarter performance I will highlight this morning. Our fourth quarter net earnings were $551 million or $0.73 per diluted share on net sales of $1.6 billion. This includes after tax earnings of $489 million from discontinued operations, primarily the gain on divestiture of our pulp mills and after-tax special charges of $44 million for a tax adjustment associated with repatriation of Canadian earnings following our Cellulose Fibers divestiture, merger related expenses, and some non-cash real estate impairments. Excluding these items, we earned $106 million or $0.14 per diluted share. Adjusted EBITDA for the fourth quarter totaled $400 million. This is an improvement of over 60% compared with a year ago and represents substantial increases in each of our operating businesses. Before discussing our business results in more detail, I will make a few comments on the housing market. Single family housing activity continued a steady improvement in the fourth quarter. Single family starts rose 10% compared with the third quarter and ended up the year up 9% compared with 2015. Total U.S. housing starts finished the year at nearly 1.17 million, a 5% improvement from 2015. As expected, the single family share of activity increased during the year and multi-family activity remained volatile. For 2017, we expect single family housing starts to increase by over 10% and we anticipate total housing starts of approximately 1.25 million to 1.3 million. Economic fundamentals support a trajectory of continued steady housing growth. Employment and wages are rising. Consumer confidence is strong, mortgage rates remain historically favorable, and public surveys indicate that builder confidence remained near historic highs. Although builders are managing through some constraints such as availability of skilled labor, stringent permitting requirements, and land and construction cost inflation, our customers echo the optimism seen in builder surveys and feel confident that housing market will maintain solid upward momentum. Let me now turn to our business segments. I will begin the discussion with timberlands. Chart 4 to 6, timberlands contributed 123 million to fourth quarter earnings, 1 million more than the third quarter and 223 million to adjusted EBITDA. Western timberlands contributed $101 million to fourth quarter EBITDA compared with 109 million in the third quarter. Export log volumes declined due to seasonally slower construction activity and timing of shipments. Average realizations, however, improved moderately across all export markets as market dynamics remained favorable. In Japan, housing activity remained solid with wooden housing start up 8% for the full year. Japanese lumber inventories which were elevated for much of 2016 after a delay in the consumption tax increase continued to decline to the seasonally slower construction period and are now at more normal levels. This created favorable supply demand dynamics and supported improved pricing in the quarter. Pricing for our Chinese export logs improved also. Fourth quarter log inventory to Chinese ports were largely flat with third quarter levels and we experienced continued strong takeaway throughout the quarter. In the Western domestic market, sales volumes were lower as mills took holiday downtime but average realizations improved slightly. Low mill inventories drove demand particularly in Southern Oregon market. Our Western crews did a good job adjusting harvest plans to adapt to record October rainfall. Our fourth quarter harvest lines were unaffected by weather and we had no infrastructure damage. However, per unit logging cost and road spending increased compared with the third quarter due to the wetter weather. Moving to the South, Southern timberlands contributed 112 million to fourth quarter EBITDA, up 4 million compared with the third quarter. Southern markets remained flat as mills had adequate inventory, and average log realizations were largely comparable to the third quarter. The harvest volumes increased modestly as fourth quarter typically included a higher volume of stumpage sales. As in the West, our crew successfully flexed target settings to adjust to November severe weather and we had no material damage to our timberland. Silviculture expenses declined as fourth quarter typically includes fewer site preparation and hardwood management activities. EBITDA for Northern timberlands totaled $7 million. This was unchanged from the third quarter on comparable prices and volumes. The strategic review of our Uruguay operations is proceeding well. We continue to see strong interest and look forward to providing further information when the review is complete. Real estate, energy, and natural resources, chart 7 and 8. Real estate and ENR contributed $13 million to fourth quarter earnings. Excluding special items, the segment earned $27 million, $12 million more than the third quarter. EBITDA increased nearly two thirds -- let me start over, EBITDA increased nearly two and a half times to $90 million. Our average price per acre declined due to mix as fourth quarter included a large transaction in Montana where timberland prices are regionally lower. For the full-year 2016, we sold approximately 83,000 acres or roughly 0.6% of our land base. Fourth quarter special items included $14 million of non-cash impairments. These resulted from a change in strategy for several small legacy real estate projects that were formerly targeted for development. The asset value optimization work continues to proceed well. As we indicated during our December Investor Day, we have finished applying the AVO process across our Southern ownership and are in the process of listings in the 500,000 newly identified acres. Our focus has now turned to the West where we are evaluating our Washington and Oregon acres. This work is going very well and remains on track for completion by mid-year 2017. Wood products, charts 9 and 10. Wood products contributed $99 million to fourth quarter earnings. The business delivered full-year 2016 earnings of $512 million, the strongest annual earnings since 2005. Fourth quarter adjusted EBITDA totaled $132 million, $71 million lower than the third quarter primarily due to seasonally lower sales volumes and operating rates. Lumber contributed $57 million to EBITDA, $28 million lower than the third quarter. Sales volumes declined 12%, average lumber realizations decreased 2%, and Western log costs increased. Operating rates were lower and unit manufacturing cost increased due to planned downtime for installation of capital projects at several of our Southern mills. Heavy rains and regional flooding resulted in modest weather related downtime in some of our Western and Southern locations and higher manufacturing costs for our Canadian mills. EBITDA for OSB totaled $46 million, $17 million lower than the third quarter. Sales volumes declined 18% and average sales realizations were comparable to the third quarter. Operating rates declined due to downtime for planned maintenance as well as repairs to our Sutton, West Virginia mill. As we previously disclosed, the Sutton mill experienced a fire on November 1st. This was an insured event. Repair activities progressed rapidly and successfully and the mill resumed full production around year-end. The net fourth quarter financial impact of this fire on OSB business was approximately $5 million, the amount of our deductible as we brought the mill up and received insurance reimbursements faster than expected. We anticipate no net financial impact from this event in the first quarter as modest repair expenses should be offset by reimbursements received within the quarter. Engineered Wood Products contributed $26 million to EBITDA, $17 million lower than the third quarter. Sales volumes for Solid Section and I-Joists declined approximately 10% and operating rates were lower due to planned maintenance and holiday downtime. Average realizations increased modestly. EBITDA for distribution totaled $5 million, slightly lower than the third quarter. By focusing on improving product margins and tightly managing cost, the business performed well in what is typically a seasonally challenging quarter. I will now turn to discontinued operations chart 12. We closed the sale of our pulp mills and printing papers business on December 1st and November 1st respectively. This completed the divestiture of our Cellulose Fibers segment. Net after tax earnings from discontinued operations of 489 million are primarily comprised of the gain on these two divestitures. Chart 13 operational excellence, as I mentioned in my opening remarks I'm proud that each of our businesses maintained its relentless focus on improving relative performance and delivered strong 2016 operating results throughout the merger integration process. Each of our business has met or exceeded its 2016 operational excellence target. Timberland has delivered 42 million of operational excellence improvements primarily from merger related operational synergies. In Wood Products OPEX improvements included $16 million in lumber, $21 million in OSB, $12 million in Engineered Wood Products, and $15 million of EBITDA improvement for distribution. The benefits of these improvements are clearly visible on our bottom line. In total wood product EBITDA improved by almost $270 million in 2016 compared with 2015. A $41 per thousand square feet year-over-year improvement in our OSB realizations created a tailwind of $120 million and an $11 per thousand feet improvement in our lumber realizations provided a tailwind of approximately $50 million. The remaining $100 million improvement was largely attributable to nearly 65 million of wood products OPEX and the addition of the Plum Creek wood products mills. For 2017 we are targeting additional operational excellence improvements of $95 million to $125 million across our businesses. This includes $40 million to $50 million in timberlands, [Indiscernible], $20 million to $25 million in OSB, $10 million to $15 million in Engineered Wood Products, and $5 million to $10 million in distribution. I will now touch briefly on our merger cost synergies. We have been achieving our targeted cost synergies faster than anticipated. And as we mentioned in December the scope of opportunity has exceeded our initial expectations. We raised our cost synergy target by 25% to $125 million and remain highly confident we will achieve this full amount on a run rate basis by the end of first quarter 2017. We also remain on track to eliminate the $35 million of cost formerly allocated to our sale of fibers business no later than 2017 year end. I'll close this morning with a few comments on the softwood lumber agreement. Although discussions between U.S. and Canadian negotiators continued through the end of 2016 we have been unsuccessful in reaching an agreement. With the change in administration, negotiations are currently on hold while U.S. trade representative and Department of Commerce appointees are confirmed and take office. In the meantime the U.S. International Trade Commission and Department of Commerce have continued to evaluate the petition for countervailing and anti dumping duties filed by the U.S. Coalition at the end of November. On January 6th the ITC unanimously determined that there is a reasonable indication that the U.S. has been materially injured by imports of softwood lumber products from Canada. The U.S. Department of Commerce is currently conducting an investigation that will result in a determination regarding preliminary duties. We expect the announcement regarding preliminary countervailing duties in late April with an anti dumping determination following in late June. Our preference remains for a negotiated agreement. The U.S. coalition continues to work closely with the Office of the U.S. Trade Representative and we look forward to resuming negotiations. I will now turn it over to Russell to discuss some financial items and our first quarter outlook.
Russell S. Hagen: Thank you, Doyle and good morning. The outlook for the first quarter is presented in chart 16 of the earnings slides. In our timberlands business we expect first quarter earnings and adjusted EBITDA will be comparable to the fourth quarter. And our Western timberlands operations we expect increased log sales volumes and slightly higher average sales realizations in the first quarter primarily driven by higher export mix. Export volumes to Japan and China are expected to increase as a result of the timing of shipments and continued favorable demand. Domestic log sales volumes and average sales realizations are expected to be comparable to the fourth quarter as a result of continued stable demand. Western road costs will decrease due to lower road spending which is typical in the winter months. Southern harvest volumes are expected to be seasonally lower than fourth quarter level as a result of harvest timing in some of our southern markets. We expect average sales realizations for the first quarter to be similar to fourth quarter levels. Silviculture spending in the South will be higher than in the fourth quarter as we perform more forestry activities such as competition control and fertilization during the first quarter of the year. In the North we anticipate first quarter sales volumes will be slightly lower than the fourth quarter. But we expect average sales realizations will be comparable to the fourth quarter levels. Real estate, energy, and natural resources earnings and adjusted EBITDA for the first quarter are expected to be slightly -- significantly lower from the fourth quarter as a result of the timing of our real estate sales, the first quarter EBITDA comparable to the first quarter of 2016. We typically close fewer transactions in the first and second quarters of the year as recreational buyer traffic slows during the winter months. The spring and summer months are the most active selling seasons with the largest portion of the sales closing in the second half of the year. We continue to expect over 250 million of EBITDA from our real estate and energy and natural resources business in 2017. As we discussed at our December Investor Meeting, we expect land bases as a percentage of real estate sales to be between 45% and 65% for the full year 2017. For wood products we anticipate higher sales volume across all product lines in the first quarter as we enter the spring building season. We expect manufacturing costs will improve as our operating rates return to normalized levels following fourth quarter's decreased levels resulting from maintenance and capital project installations. Realizations remained relatively strong going into the fourth quarter as we did not experience the seasonal declines in wood product pricing that typically occur during the holiday season. We anticipate lumber and OSB sales realizations in the first quarter will be comparable to fourth quarter levels. Overall for wood products we expect adjusted EBITDA and earnings for the first quarter will be higher than the fourth quarter and will be roughly $50 million dollars higher than the first quarter of 2016. Chart 11 outlines the major components of our unallocated items. For the fourth quarter, the $31 million earnings experienced in unallocated items is driven by $20 million increase in non-cash charges related to LIFO inventory adjustments, profit elimination, and foreign exchange. Moving on to our retirement and pension plans, the year-end 2016 funded status of our defined benefit pension plans and post employment retirement plans decreased by $383 million compared to 2015 as a result of the decrease in the prescribed discount rate. Discount rates decreased by approximately 20 to 30 basis points for both the U.S. and Canadian plants. We did not make any cash contributions to the U.S. qualified pension plan in 2016 and we don't anticipate any cash contributions in 2017. Cash paid for all other pension and other post employment retirement plans in 2016 was nearly $100 million which included onetime payments related to the Plum Creek merger. We expect cash payments in 2017 will be approximately $70 million. We expect to report approximately $100 million of noncash, unallocated pension and post retirement expense in 2017. Chart 14 summarizes our key financial items. As Doyle mentioned we closed the sale of the Cellulose Fibers pulp mills on December 1st pursuant to U.S. GAAP to receive and use of cash proceeds from the sale are recorded in different categories within our cash flow statement. The 2.2 billion of cash proceeds from the sale is showing cash from investing activities. Immediately following the close of the sale on December 1st we used a portion of the proceeds to pay off the $1.7 billion term loan which you can see in cash flows from financing activities. Finally, we paid $494 million of taxes related to the sale of our Cellulose Fibers mills in the fourth quarter which is recorded in cash from operations and results in the negative $151 million of net cash from operations. Excluding the cash taxes paid on the Cellulose Fibers sale during the fourth quarter of 2016, cash from operations would have been $343 million. Moving on to debt, we ended the quarter with $6.6 billion of long-term debt. We have one scheduled maturity in August of 2017 for $281 million which we intend to repay with available cash. Capital expenditures for the fourth quarter totaled $207 million including $22 million related to discontinued operations. Net of discontinued operations, capital expenditures for the full year 2016 was $425 million. Looking ahead to 2017 we expect total CAPEX will be approximately $435 million, $300 million for wood products and $135 million for timberlands. Interest expense was $108 million in the fourth quarter. We expect interest expense will be approximately $400 million in 2017. Our 2016 effective tax rate for continuing operations was approximately 18% slightly above our earlier forecast due to a tax adjustment reported as a special item in the fourth quarter in connection with the sale of our Cellulose Fibers business. For 2017 we expect the tax rate will be between 15% and 17% based on the forecasted mix of our earnings for our REIT and taxable REIT subsidiary. I’ll wrap up with chart 15 which provides some additional detail on our share count and repurchase activities. During 2016 we repurchased 68 million shares at an average price of $29.49 per share. There were no share repurchase activity in the fourth quarter and we ended the quarter with about 749 million shares outstanding. Now I’ll turn the call back to Doyle and look forward to your questions.
Doyle R. Simons : Thank you Russell. I am proud of our 2016 achievements. We have transformed our portfolio, delivered strong operating performance, and taken substantial strides towards a successful and value creating merger integration. And in 2017 I'm very optimistic about the opportunities in front of us. We remain strongly committed to driving industry leading performance, capturing merger synergies, fully capitalizing on improving markets, and demonstrating disciplined capital allocation to drive superior value for our shareholders. And now I’d like to open the floor for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Anthony Pettinari with Citi. Please go ahead.
Anthony Pettinari: Good morning.
Doyle R. Simons: Good morning Anthony.
Anthony Pettinari: With regards to the CAPEX guidance, and I think you said 300 million for wood products. Is it possible to say if you're adding or debottlenecking capacity in lumber and OSB for the year and roughly what percent capacity growth you might anticipate? And then specifically with regard to the anti dumping duties which we might get in spring/summer, are you taking steps to rebalance capacity between the U.S. and Canada in your system?
Doyle R. Simons: So let me start with your second question regarding the anti-dumping duties and we are not taking any steps to rebalance, Anthony. As we've talked about previously, if you look at our Canadian operation, about a third of our Canadian operation is sold -- of our production is sold in Canada, a third is sold in export markets outside the United States, and a third comes into the U.S. Overall, our Canadian lumber operations is roughly 20% of our overall lumber operations, so you take that 20% times a third it's not a big part of the driver for our lumber operation. In terms of CAPEX Anthony, the $300 million is in line with what we've done over the last couple of years, and our primary focus in our CAPEX in our Wood Products operation is low risk, high return projects that drive down our overall cost structure and that's been a key part of accomplishing our OPEX. With that said, some of those projects do in fact result in debottlenecking and additional capacity, and as we've also stated we are in the process of rebuilding two of our mills Dirk's and Millport, which have been really good mills for us historically. But, in order to significantly dive down the cost structure of those mills, we essentially needed to rebuild them in place and that will result in some additional capacity as well. But again, the primary focus is on the cost side where we will be increasing capacity as a result of some of the projects that we've put in place.
Anthony Pettinari: Okay, that's helpful. And then just regarding the real estate guidance for 2017, should we expect land sales to be weighted towards the South and maybe the North as you're still working through AVO in the West and if you could just talk generally about the demand you're seeing for timberlands and rural lands and if you could highlight any difference in demand between the West and the South?
Russell S. Hagen: Sure Anthony, this is Russell. So as you know the real estate business is a little lumpy but getting through our AVO process in the South, and as Doyle indicated, we're starting to work through to bring some of that AVO work to market. So we identified the 500,000 acres and now we're starting to bring a portion of that into the marketplace. I would expect the activity to be weighted a bit to the South. We still have opportunities in North obviously and we will be looking at that. As we get through the AVO process in the West, we'll start looking at what opportunities there are to bring that to market. And as far as demand for the rural real estate, the South definitely has continued demand. There's a really strong recreational buyer activity in the South. We do have demand in the North obviously but it is a little different buyer, and it's more of a small plot, small timberland plot-type ownership. But we see good strong demand in the South for recreational properties.
Anthony Pettinari: Okay, that's helpful. I'll turn it over.
Operator: Your next question comes from the line of George Staphos with Bank of America Merrill Lynch. Please go ahead.
George Staphos: Thanks. Hi, everyone, good morning. Thanks for all the detail and congratulation on the progress. First question, I just wanted to double check something. I thought I heard you say Russell that the pension liability ultimately went up, I want to say something like $300 million, but you didn't anticipate funding being required this year. If I heard that correctly, could you discuss why and I think you also threw out a pension expense figure for this year but I did not catch that, if you could repeat that that will be great?
Russell S. Hagen: Sure, so the pension liability or the pension – the funded liability was down $383 million and as far as the pension expense it did increase. And that's really a function of a couple of things. Well, the first is the return on the pension assets, so we did decrease our rate down from 9% to 8%, and then we have additional amortization pension loss. So that's really driving the increase. And that total on an unallocated basis is $100 million. And as far as the funding, you know, the funding requirements are really prescribed by GAAP funding and then IRS funding. So we don't have any funding requirements in 2017.
George Staphos: Okay, thank you for the clarification there. Could you talk about what operating rates recognizing it's early in the year and a lot can change, what kind of operating rates do you think you'll be running at across the major wood products businesses? And then as it relates to distribution and engineered wood products, are you finding any opportunity to further marry those businesses and have them coordinate to a greater degree, as the -- and take share within the large builder pack market?
Doyle R. Simons: George, in terms of operating rates, we are optimistic about demand as we move into 2017 for all of our products. So I would tell you there will be some seasonality as there always is, but I would anticipate lumber operating in the low to mid 90's, OSB operating in the low to mid 90's, ELP normally operates about 10% lower than that, so I would anticipate that being in mid 80's type range. But as I said, we are encouraged by what we're seeing in terms of demand. And as we talk to our customers, they are bullish on housing and increasing demand for all of our products in 2017. In terms of the coordination between engineered wood and distribution, that's something that’s here where we also have done a lot of work on. And I would tell you those two operations are working more closely together than they ever have historically. And that's been very beneficial in driving improvements in both our EWP and our distribution business and I think there will continue to be further opportunities for that coordination as we move forward.
George Staphos: Doyle is there a way to size if at all what kind of benefit you might get from that in 2017? And then my last question, not that you haven't had great performance on this over the last couple years, but I noticed a little bit of a pickup in G&A, is that just still the residual effect of just putting Plum Creek into the business or are there other expense categories that are growing that you'll need to manage for in 2017? Thank you and good luck in the quarter.
Doyle R. Simons: Thank you, George. In terms of G&A I would tell you that the slight increase in fourth quarter versus third quarter is just timing. We are if you look at where these companies were before we combine them in 2015 versus where we're going up in 2017, we're highly confident that we're going to meet or exceed our $125 million target by the end of the first quarter of 2017. And as I said earlier we are at a basically $100 million run rate through the fourth quarter of 2016. So in really good shape on our G&A and as I mentioned earlier the $125 million is 25% higher than what we originally factored in when we announced the merger. In terms of the engineered wood products and distribution coordination and quantifying that George, as you would expect that is difficult to quantify but that is part of the OPEX improvements that we've highlighted in 2017. And there maybe some upside as these two operations continue to work closer together and figure out a way to drive value for customers and improve bottom line profitability.
George Staphos: Thank you for the details.
Doyle R. Simons: Thank you.
Operator: Your next question comes from the line of Collin Mings with Raymond James. Please go ahead.
Collin Mings: Hey, good morning. First question from me just as it relates to the lumber dispute. As we enter the potential look back window, have you started to see any change in Canadian shipments for the U.S. just more broadly in the marketplace?
Doyle R. Simons: You know Collin it's hard to tell yet. I mean we're only into the -- through the month of January and as you know the look back will be roughly 90 days. So, hard to determine yet if there's been a significant change in the Canadian activity. As you know Canadian activity was up significantly in 2016 and we'll be watching how that plays in 2017. A lot of rumors floating around as to what may or may not happen but too early to tell what changes if any the Canadians maybe taking as we move into 2017 in the potential look back period.
Collin Mings: Okay, thanks for that Doyle and then switching gears just I maybe splitting hairs here but just your guidance on real estate seem to maybe be a little bit more optimistic than the December Investor Meeting, just given kind of language around looking for it to exceed the 250 million in adjusted EBITDA. Am I reading too much into the language choice there or is there something kind of driving maybe a little bit more optimism on the real estate front?
Doyle R. Simons: Well Collin what I would tell you is as we continue to learn more about our real estate operation and what the opportunity is there, we continue to be encouraged by the AVO process and what that is unveiling. So we are confident that, that number will be over $250 million for 2017.
Collin Mings: Okay and then curious just given the potential for tax reform, can you touch on how important 1031 exchanges are to the real estate business. I know that's something that Weyerhaeuser legacy has engaged in to some degree but how do you think about it now just kind of given your current pack that it’s on a combined basis?
Russell S. Hagen: So Collin this is Russell, as far as the 1031 program you're correct, Weyerhaeuser had used that in the past and that was primarily because they were in the built in gains period. So now that they're out of the built in gains period so on a combined basis rather built in gains period it’s really not a tool that we would use going forward in a meaningful way.
Collin Mings: Okay great. I'll turn it over. Thanks guys.
Doyle R. Simons: Thank you Collin.
Operator: Your next question comes from the line of Gail Glazerman with Roe Equity Research. Please go ahead.
Gail Glazerman: Hi, good morning. Can you give a little bit more color on what you're seeing in the export market, A lot of other commodities have seen a big uplift in volumes to China, are you sensing any of that at all in either log or lumber either from North America or some other parts of the world?
Doyle R. Simons: So Gail we continue to be encouraged about what we see in the export markets. Let's start with Japan as you know that's our biggest market. So as we said earlier prices were up in fact in the fourth quarter which was encouraging. Volumes were down but that was due to seasonality and frankly some of the timing of our shipments and how the ships played out that were going to Japan. In the first quarter in line with your point we do anticipate volumes will be up. And our best guess right now is flat pricing but we continue to be encouraged by what we see out of Japan. Housing market activity was up 8% roughly through the month of November which is the last data point that we have. As we look to China encouraging there as well. As you know log inventories continued to be at normal levels, pricing was in fact up in the fourth quarter. Volume again was down seasonally and as we move into the first quarter continuing to anticipate good demand out of China and we anticipate volumes up in the first quarter versus the fourth quarter.
Gail Glazerman: Okay, can you give a little bit more color on the charges on some development projects, are there any projects that we might have heard of, or are they just really small?
Russell S. Hagen: Yeah, this is Russell. So as we've gone through an AVO process part of that is also to identify any kind of small development projects and Weyerhaeuser had done some small development activities really around and tied it with maybe some minimal infrastructure type investment. As we went through the portfolio, given the change in our strategy as it relates to development, we chose to move those into an HPU [ph] category and sell through those a little quicker. And because of that we took the impairment against those assets but so very small properties -- properties and we don't expect to have any material impairments going forward in future.
Gail Glazerman: Okay, Doyle, can you give any sense of where your customer log inventories are positioned moving into the year?
Doyle R. Simons: Yes, I would say customer log inventories in the West are kind of towards the low end of normal as we as we move into the year. And I would say in the South they are kind of at normalized levels in terms of where you would have seen log inventories historically.
Gail Glazerman: Okay, and just last one. Obviously you're looking for fairly stable Southern pricing in the first quarter, can you give any perspective on what your outlook is for the year, are you seeing any sense of traction of building?
Doyle R. Simons: You know our take is the first and second quarter we would anticipate pricing to be essentially flat. We do think there's the possibility of slight improvements in pricing as we move to the second half of the year and then as we look further out than that we continue to be quite optimistic about the improvement in Southern log prices. As housing continues to improve that will drive demand. As you also know there are significant projects that are being built and will be coming online in 2017 and 2018 type timeframe that we think that's going to drive 12 million to 13 million green tons of additional demand. And then of course a big component of this will be what happens with Canada and we think either as a result of hopefully a negotiated agreement which will result in a quota or the duties that that will have an impact on the amount of lumber that is coming in from Canada which will result in more demand on Southern saw logs. So all those factors we are encouraged by what we see there and like I said are hopeful that we'll see some slight improvement in the second half of this year but more importantly as we move into 2018 and beyond. We think we're going to see some pricing power as a result.
Gail Glazerman: Okay, thank you.
Doyle R. Simons: Thank you.
Operator: Your next question comes from the line of Mark Weintraub with Buckingham Research. Please go ahead.
Mark Weintraub: Thank you. A couple follow ups first. Do you guys get a sense of inventories of the customers on logs, do you have a view where they are on lumber and OSB?
Russell S. Hagen: Mark, I would tell you that our sense is inventories for lumber and OSB are pretty thin. I would say it is on below normal levels and that seems to be how our customers are running their business but I would say inventories are latent.
Mark Weintraub: Okay, bit of a hypothetical but have you been able to do any work, have any thoughts if a border tax adjustment were to be part of a new tax bills, etc what would that mean for lumber and for that matter OSB coming in for Canada. I don't know if you've gotten any -- it would be treated any differently or any thoughts on implications there?
Russell S. Hagen: Hey Mike, this is Russell. As far as the border tax adjustment we've kind of looked at the implications of that. But as Doyle mentioned given we have relatively low volumes coming in from the Canadian operations into the U.S. we're primarily a domestic producer and sell into the domestic markets. We don't think it would have a material impact on our operations or in fact on us.
Mark Weintraub: I guess, coming from kind of the other angle, would it have material implication on wood coming in from Canada not produced by you essentially, homebuilders not going to be as inclined to buy the woods from the Canadian and essentially act as a further umbrella for U.S. pricing?
Russell S. Hagen: I mean yes, that could be a factor and the amount of volume that comes down from Canada I would say that's a possibility.
Doyle R. Simons: But a lot of these changes to the markets we're doing a lot of work on it but it's still too early to know exactly how these will play out under this administration. But a lot of moving parts that could have frankly potential benefits for our company going forward.
Mark Weintraub: Understood, appreciate it. I wondered just if whether there was anything that would be different about materials coming in from – wood products coming in from Canada, but there's nothing that's being talked about that would differentiate it from anything else coming in from anywhere is that fair?
Doyle R. Simons: At this point that is generally fair. More work to be done and more specifics to be learned but I think to your point if anything it should be a net positive for our company and the U.S. industry.
Mark Weintraub: Okay, thanks so much.
Doyle R. Simons: Thank you.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research. Please go ahead.
Chip Dillon: Yes, good morning everyone.
Doyle R. Simons: Good morning Chip.
Chip Dillon: First question is Doyle, I remember it was about three years ago when you got into your current role, it seem like you had like a couple years where you were going to improve the pretty much the whole wood products business and I think it's fair to say you've exceeded expectations. But I was under the impression that after those two years CAPEX might come down and you would sort of be in a position where maybe you would have viewed -- accelerated a lot of opportunities. What I think of seeing today is CAPEX is staying elevated but to be fair you're also having continued high targets. In fact it looks like lumber and OSB they're higher for savings in 2017 and 2016. So the question is what changed, has it been that since you've been in there you have found new things you can do to plants you've already worked on or are you just expanding the number of plants that you are putting capital in, in order to get these savings?
Doyle R. Simons: And so it's good question, Chip. So, what we -- when we started this process as you were recalling as you highlighted two or three years ago, a lot of the improvements were non-capital improvements because our take was show -- these mills needed to show that they could make operational excellence improvements without capital. And then if they could do that then they earned the right to capital to further drive down the cost structure. So we initially said okay let's do this without capital. Once you show that and you earn the right to capital which will further drive down the overall structure of our mills set. So as you said we've made good progress. There's still more work to be done but we now have confidence Chip as we put in this capital that we will in fact continue to deliver on these OPEX improvements and more importantly than that continue to drive down the overall cost structure of our mail system where we will in the current upturn that we're in outperform the competition. And when things do eventually roll over, which we think was many years from now we will be back at the bottom. Now with that said Chip I don't want to give you the sense that this $300 million of capital is going to be the level forever. We think there's a couple more years of spending at this level to get our mills fully positioned to where they need to be from a cost perspective and then you would see capital fall off to a more normalized level in the $200 million to $250 million range.
Chip Dillon: Okay, so 200 to 250. Now -- then the second question is it seems like as we've looked at the situation here we are in 2017 that there would be a lot of TMO [ph] type partnerships that were established 10 to 15 years ago that are coming up for, I guess they’re maturing or the partnerships are at a point where they might dissolve. And yet it seems like the timberland market has stayed pretty solid. I don't know if it's great but it's been pretty solid and I didn’t know if you had any thoughts as to are you seeing a lot of these partnerships sort of extend themselves or are you instead seeing them dissolved but there's just a solid demand sort of have new replacements in terms of investors to take over these ownerships.
Doyle R. Simons: Chip, what I would tell you -- I think timberland markets do continue to be strong and we see that over and over especially for high quality timberland there's a lot of interest in its investment class and for high quality timberlands there's a lot of interested buyers both domestic buyers and frankly international buyers starting to show up. So as these TMOs do mature and that is happening some of them you see being extended due to performance. Some of them you see trading back and forth but a lot of interest in continued in this asset class and like I said any process that is being run and there are some being run and we participate in just about all of those. There are a number of interested parties who are part of that
Chip Dillon: Okay, and then last question quickly. Any update on sort of your thinking about either the dividend, dividend policy at this point?
Doyle R. Simons: Yeah Chip, so as we mentioned at our Investor Day kind of over 90% of our business assets is in timberlands and as you have just highlighted a significantly improved cost structure for wood products. Our go forward cash flow will be much more stable and that's intentional. We're in the process of discussing the payout ratio with our Board and we will update you when those conversations are complete. But we think there is the opportunity to increase the payout ratio as we look forward. In terms of a dividend increase, as we have consistently said for the past few years we are committed to a sustainable and growing dividend. As we look into 2017 we're clearly going to benefit from cost and operational synergies, continued OPEX improvements, and as we've talked about this morning stronger housing markets. So, all those things will be factored in as we work with our Board on decisions regarding our dividend.
Chip Dillon: Great, thanks for the update.
Doyle R. Simons: Thank you.
Operator: Your next question comes from the line of Brian Maguire with Goldman Sachs. Please go ahead.
Brian Maguire: Hi, good morning and congratulations on the strong 2016 results. We are seeing some inflation out in the economy these days with a lot of commodity prices moving higher, just wondering if you're starting to see that in your business from cost pressure and related to that maybe just wondering if some of the higher oil and gas prices might have any benefit on the energy part of the real estate segment just in terms of royalties and if that's kind of factored into your outlook or not?
Doyle R. Simons: So, on the second part of your question, clearly higher natural gas and oil prices will benefit our Energy and Natural Resources segment. We have a lot more leverage to natural gas and forever rough numbers just to give you a sense, every dollar improvement in natural gas, $5 million to our bottom line all else being equal. But as you would also anticipate when pricing increases that also gives you the opportunity to go lease more. Don’t have quite that type of leverage to oil but as oil prices continue to improve there will be more opportunity from a leasing perspective. In terms of commodity price push we're starting to see a little bit of that not big numbers at this point but that -- turning to that, that is why OPEX is so important as we are at some point going to see some cost push and a big part of our operational excellence efforts are to make sure we are doing things that offset that or frankly more than offset that so that the benefits we see from our increased pricing and volume fall directly to the bottom line.
Brian Maguire: Okay great. And then the other area where there has been a lot of volatility lately has been just in currencies and you get some sensitivity to the end. Just wondering, what kind of an impact the post election move in the dollar is having on realized pricing or competitive trade flows, particularly into Japan where I know you've got some competition from some European producers?
Doyle R. Simons: Yeah, as you said the strong U.S. dollar continues to be a headwind for us. All other currencies that are important to us weaken versus the U.S. dollar after the election. Some of them has strengthened slightly this December but they overall net-net remain weaker than where they were at the end of the third quarter. In Japan as you said the risk there is the strong U.S. dollar pressures. Prices our customers products compete with lower cost lumber imports from Europe but as I said earlier despite all that we continued to have good demand for our logs into Japan and we actually saw some fall off in the imports that were coming in from Europe during that time period. So net-net while it's not positive we work through that and continue to have good demand from our Japanese customers and part of that is built on the long-term relationship and unique relationship we have with our customer base in Japan.
Brian Maguire: Okay, just one last one of I could just on the corporate expense in the quarter and the outlook there going forward I think there was maybe a LIFO or inventory hit there in the quarter. As soon as maybe just a year end true up but just thinking about what kind of run rate level we're at going into 1Q there and as you remove some of the stranded costs from Cellulose Fibers, where you think we would become ending the year there?
Russell S. Hagen: So this is Russell. As far as the $14 million LIFO adjustment that was a combination of LIFO and profit elimination and that was really a function of increasing inventories at year end. Then also bringing on some of the Montana inventories that were legacy to Plum Creek and so we increased log inventories particularly in those regions for anticipating when to break up. So it's really just an increase in inventory versus the driver for the LIFO on profit elimination. As Doyle mentioned we're on track to capture our synergy targets 125 million by the end of the first quarter and then we are on track to capture the additional $35 million of CS training costs by the end of 2017 and we're making good progress on both those accounts.
Brian Maguire: Okay, thanks very much.
Russell S. Hagen: Thank you.
Operator: Your next question comes from the line of Mark Connelly with CLSA. Please go ahead.
Mark Connelly: Thanks Doyle. I'm just expanding on Chips question, are the nature of the operational excellence improvements in timberlands any different now? I'm just curious whether things are evolving there and maybe maturity schedules and things are getting involved?
Doyle R. Simons: I would say the biggest difference in timberlands versus where we were the first two or three years are the additional opportunities that have been presented as a result of combining. Weyerhaeuser and Plum Creek. So a portion of the $42 million that we got in 2016 was due to those operational synergies, the ability to rebalance wood flows, to minimize cost, and increase realization, optimize the silviculture practice cost based on our larger scale. And then frankly just best practices in harvesting and transportation both again as a result of scale but maybe even more importantly learning from each other. There were some things that Weyerhaeuser and when we got in there looked at it did better and lower costs than Plum Creek and there were some things that Plum Creek did. So as we move forward while we're confident in having what I would say were a fairly significant targets 40 million to 50 million in 2017 and I would anticipate a similar number in 2018 are because of the opportunities that have been created by combining these two companies taking best practices, taking advantage of the larger scale both from ability to service customers, rebalance wood flows, and drive down the overall cost structure of our timberlands operations. So really excited about that and I can tell our folks are really excited about it as they almost on a daily basis find additional opportunities for OPEX as a result of the combination.
Mark Connelly: That sounds great. Just one point of clarification, in real estate you mentioned a shift to the South but is there anything lumpy or should we start to think of this is a relatively normal quarter in terms of realizations?
Doyle R. Simons: So as I mentioned earlier in my comments, the first and second quarter are pretty kind of low volume of sales and so we're guiding for lower amount in fourth quarter. Real estate sales can be a little lumpy, it depends on the character of the transactions and so it's a little difficult to predict. And then the second half we'll see it will pick up. So, that's pretty much the pattern we would expect pretty low in the first and second quarter and then picking up in the third quarter and then a lot of closings really occurring in the fourth quarter.
Russell S. Hagen: And Mark in terms of the value from the different components is really it is depending on as you very well know there's different value components in the North. It tend to be lower per acre South than that and then of course the West even higher than that on a per acre basis. So it's really just going to depend on what the mix is and as Russell said at least initially it will be more weighted to the South than the West and then as we move to the West as we complete our AVO process that will factor in on the per acre value.
Mark Connelly: Very helpful, thank you.
Russell S. Hagen: Thank you.
Operator: Your next question comes from the line of Mark Wilde with BMO Capital. Please go ahead.
Mark Wilde: Good morning Doyle, good morning Russell.
Doyle R. Simons: Good morning Mark.
Mark Wilde: Doyle, I wonder if you and Russell could just give us some sense of kind of how your appetite is right now for kind of timberland acquisitions and where your biases would be just regionally?
Doyle R. Simons: You know Mark, I’ll tell you that right now our focus, what I like to say number one, two, and three is continuing to make sure we fully capitalize on the value that we can create by combining Weyerhaeuser and Plum Creek and driving the synergies and other benefits to the bottom line. So that's what we are primarily focused on. As we continue to work through that, and as I like to say earn the right to continue to grow we will be looking at Timberland acquisitions to potentially grow our company. With that said with the scale we have and diversity of geography we have we don't have to grow so we can be very disciplined as we move forward. In terms of South versus the West we're basically like both of those markets and would look so it's not a waiting more to one than the other. We both -- we like both the South and the West and would look to potentially growing both of those as we move forward.
Mark Wilde: Okay and then on the other side of the equation Doyle just I know you're still in the midst of the evaluation down in Uruguay but can you just give us some sense of sort of any tax consequences on that sale?
Russell S. Hagen: Hey Mike, this is Russell. Pardon me, yes thanks for the qualification. If that were the case we would have minimal tax impacts on that transaction.
Mark Wilde: Okay. Doyle the last question I had is just over an engineered wood. I know that there have been some conversations about sort of more fire code restrictions around particularly I-Joist, can you just kind of update us on what that situation is and how Weyerhaeuser kind of deals with those changes in regulation?
Doyle R. Simons: Good question Mark and there are a lot of various regulations, potential regulations regarding that. I can tell you we’re doing an immense amount of work on that front. We've got a really good technology group that is looking for different applications that you can put on engineered wood products that will in fact extend what's called the burn through test, extend that and as a result of that meet any additional requirements that may be put forth from that. So again a lot of work being done on that, very encouraged about what we've seen so far in the test that we're running and think we will be well positioned as we go forward in EWP.
Mark Wilde: How widespread is this Doyle, is this just kind of a state by state or is this more of a national basis?
Doyle R. Simons: No, it's clearly state by state that's the way these things work. Again a lot of uncertainty regarding exactly what that may look like and what the timing may be. But we've been on top of it and feel good about the opportunities to deal with this on a go forward basis.
Mark Wilde: Okay, just the last question also on I-Joist. I just I notice in your graph that prices of I-Joist have been kind of trending down over the last around four to six quarters yet at the same time kind of the inputs are like OSB for web stock are actually going up. So, would you expect to see kind of those higher input costs starting to roll through to I-Joist prices here over the next few quarters?
Doyle R. Simons: Yeah Mark, I do think there is the opportunity for price improvement in EWP as we move through 2017.
Mark Wilde: Okay, very good. Good luck this year guys.
Doyle R. Simons: Alright, thank you.
Operator: And your final question comes from the line of Paul Quinn with RBC Capital Markets. Please go ahead.
Paul Quinn: Yeah, thanks very much and good morning gentleman. Just a question on software negotiations, you mentioned that government employments haven't been made yet so there's no government to government negotiations. But maybe you could just give us some color on whether the industry is talking and whether you're making any progress and when you expect government to government negotiations to start.
Doyle R. Simons: Yeah, I think it's going to take a little bit of time Paul to get the appointments in place and approved and get up to speed. So I can't tell you exactly when negotiations will start again. But it's going to take a little bit of time. In terms of the U.S. coalition a lot of work continues to be done just to -- so we don't lose any momentum during this period of time. I think the U.S. coalition are all on the same page and like I said are hopeful of a negotiated settlement as we move forward.
Paul Quinn: Great, that is all I had. Thanks a lot guys.
Doyle R. Simons: Alright, thank you. So as I understand it that was our final question. I would like to thank everybody for joining us this morning. And as always really appreciate your interest in Weyerhaeuser. Take care.
Operator: Thank you. This concludes today's conference call. You may now disconnect.